Operator: Good morning, and welcome to The Manitowoc Company First Quarter 2025 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Ion Warner. Please go ahead.
Ion Warner: Good morning, everyone, and welcome to our earnings call to review the company's first quarter 2025 financial performance and business update as outlined in last evening's press release. Joining me this morning with prepared remarks are Aaron Ravenscroft, our President and Chief Executive Officer; and Brian Regan, our Executive Vice President and Chief Financial Officer. Earlier this morning, we posted our slide presentation on the Investor Relations section on our website at, manitowoc.com, which you can use to follow along with our prepared remarks. Please turn to Slide 2. Before we start, please note our safe harbor statement in the material provided for this call. During today's call, forward-looking statements, as defined in the Private Securities Litigation Reform Act of 1995, are made based on the company's current assessment of its markets and other factors that affect its business. However, actual results could differ materially from any implied or actual projections due to one or more of the factors, among others, described in the company's latest SEC filings. The Manitowoc Company does not undertake any obligation to update or revise any forward-looking statement, whether the result of new information, future events or other circumstances. And with that, I'll now turn the call over to Aaron.
Aaron Ravenscroft: Thank you, Ion, and good morning, everyone. Please turn to Slide 3. I want to begin by thanking the Manitowoc team for successfully managing a difficult quarter. We generated $471 million in revenue and $22 million in adjusted EBITDA, exceeding our expectations. Orders were a strong $610 million and backlog ended the period just short of $800 million. Our non-new machine sales were $161 million, up 11% year-over-year. In April, we participated in the Bauma Trade Show in Munich, and I was extremely pleased with the industry sentiment and customer feedback throughout the event. We showcased the only hybrid all-terrain crane in the industry that is capable of operating for an entire ship. Additionally, crane operators and owners greatly appreciated the upgraded features on our new all-terrain camps. Customers were thrilled with our new tower cranes as well as a wide range of new aftermarket products and solutions that we exhibited. A big thank you to Ion Warner, Insa Heim and the entire Manitowoc team that made this show a great success. I also send a big thank you to all of our customers and partners that showed up in force. In terms of tariffs, based on what we know today, we are modeling $60 million of incremental costs and have mitigation plans to cover 80% to 90%. This, combined with our strong backlog and growing confidence in the European tower crane business supports our current guidance. Given the fluid nature of the situation and the price elasticity of cranes, we have not factored any major change of demand into our forecast. Brian will provide greater color in terms of exposure. Lastly, in reaction to our recent antidumping claim, the Department of Commerce has initiated an investigation into tower cranes coming from Japan. The first hearing was held on May 1. The bottom line is that we believe in free and fair trade and will strongly defend it. Since I joined Manitowoc, nine years ago, we have taken significant actions to improve the competitiveness of our crawler crane product line. We closed our namesake factory and reduced headcount significantly to reduce cost. We revamped all of our small and medium-sized cranes and upgraded and value engineered our large cranes to improve our value proposition. And lastly, over three years ago, we even started to sell these products directly through MGX. Despite taking all of these actions, our crawler cranes continue to be undersold by develop bill. The filing was not an easy decision, and it wasn't taken lightly. At the end of the day, it's up to United States government to determine whether or not deverloper’s trade practices have been predatory in nature. Our data set suggests that it has been. With that, let's return to our normal programming. We had a couple of breakthroughs with the Manitowoc Way during the first quarter. First, we had our best quarter ever in terms of safety metrics. Although our recordable rate isn't zero yet, it's important to acknowledge the significant progress that we've made, a great job to every Manitowoc employee. Second, we integrated AI into our Manitowoc Way improvement process for the first time. Our IS department recently began to use AI to convert several computer programs. In this process, AI automates repetitive tasks normally done by developers. As a result, we can save 2,000 man hours and avoid spending $400,000. We are now using AI as another tool in our lean practice. Please move to slide 4 for my market update. In North America, first quarter orders through our third party dealer channel increased 35% year-over-year. Overall, crane rental houses remain busy, and we've seen quick success at some of the bigger players to reduce the age of their fleets. This is encouraging but the overall health of the industry, and I remain cautiously optimistic about demand in the region. We simply have to wait and see how tariffs will play out. In Europe, the outcome of the recent election in Germany, followed by the announcement of a €500 billion infrastructure fund has been welcomed by all. While it will take some time for the money to flow, this news significantly boosted customer outlook and provided some level of certainty to a very uncertain market. Bubble crane machine orders were lower year-over-year against extremely tough comps. However, orders were up sequentially and the level of customer engagement of farm was great. First quarter orders significantly outperformed our expectations, and it feels like momentum is building. Turning to European tower cranes. Our machine orders were up nearly 70% year-over-year. This was the third quarter in a row that we outperformed our year-over-year comps. This gives me confidence as the market continues to move in the right direction and a recovery is beginning to shape. In the Middle East, we saw a small year-over-year decline in first quarter orders. Nevertheless, deal activity remains robust. Saudi continues to be strong, and the UAE has a lot of interesting projects in the pipeline, including the massive new Dubai airport. The airport is expected to be five times larger than the current airport and comprises 400 gates and five parallel runways, which will require a lot of cranes. Continuing East. India remains very strong. Unfortunately, there hasn't been any major change in time. As for South Korea and Australia, two of our bigger markets in the region, we're in a wait-and-see mode. Korea's on hold until its elections on June 3. And in Australia, the exchange rates with Europe turned unfavorable recently. Fundamentally, demand is there, the customers are waiting for greater clarity before they'll hold the trigger on orders. Looking broadly at dealer inventory, there has been a lot of print in recent quarters regarding high dealer inventory levels for construction equipment companies. This has not been the case for our products. Overall, we've held at a pretty steady and healthy level. In fact, our dealer inventory for tower cranes in Europe is at historically low levels and many major crane customers have been aggressively selling their old used cranes, which is helping lead our recovery. And in the US, if the tariff negotiations take longer than planned, I expect dealer inventory levels to quickly wind down, which will inevitably lead to a faster rebound. With that, I'll pass it on to Brian to walk you through the financials before I close with our strategy update.
Brian Regan: Thanks, Aaron, and good morning, everyone. Please move to slide 5. Overall, our first quarter results exceeded our expectations. During the period, we had orders of $610 million, an increase of 10% from a year ago, bringing our March 31 backlog to $798 million. Higher order intake was primarily driven by the Americas, but we also saw 68% year-over-year increase in new machine orders in the European tower crane business. This is now the third quarter in a row that we've seen a year-over-year increase, signaling what we believe is the beginning of a market recovery. Net sales in the quarter were $471 million, a decrease of 5% from a year ago. Our non-new machine sales were $161 million, up 11% year-over-year, trailing 12 months non-new machine sales were $645 million, another record, continuing the great progress we've been making on our Cranes+50 strategy. SG&A expenses were $83 million or 18% of sales, in line with our expectations which included a portion of the Bauma trade show costs. Our adjusted EBITDA for quarter was $22 million, a decrease of 31% year-over-year. The adjusted EBITDA margin was 4.6%. Please turn to slide 6. Net working capital ended the quarter at $489 million, which is down $20 million year-over-year driven by inventory as we continue to manage our billed schedules. Moving to cash flows. Operating activities provided $13 million of cash during the quarter. Capital expenditures were $11 million, of which $4 million was for our rental fleet. In addition, we spent $13 million to acquire certain assets and territories from Ring Power Corporation. Total outstanding borrowings under the ABL increased $4 million during the quarter leaving $83 million outstanding. Our net leverage ratio was right at our target of 3x and total liquidity was $307 million as of March 31. In April, we made a $43 million payment to settle the EPA matter. In spite of this payment, we expect our liquidity to remain strong. Please turn to slide 7. Before getting into quantifying the potential impact of tariffs, please note that the figures I present do not assume a change in current forecasted demand and are based on enacted tariffs today. With that in mind, we are maintaining our full year 2025 guidance. We can summarize the impact of tariffs into three buckets: number one, the import of cranes to the US from Europe. Number two, global sourcing of components for cranes manufactured in the US and net demand, which were simply unable to quantify at this time. Starting with bucket number one, to put things in perspective, our US sales make up approximately 50% of our total sales, and of that, 70% are new machines. Roughly 25% of the cranes that we sell in the US are imported from factories in Europe. At this time, we calculate the potential incremental cost impact of these tariffs this year to be approximately $15 million. Moving to bucket number two. Approximately 75% of the new machines sold in the US are manufactured in Shady Grove. As you would expect, to manufacture these machines, we source raw materials and components from a variety of countries around the world. We estimate the incremental tariff costs to be around $45 million this year with the biggest impact coming from imports from China. In summary, we expect the current tariffs to impact us by approximately $60 million this year and we have detailed plans to mitigate roughly 80% to 90% of these costs through various actions. Please appreciate, that the situation is very dynamic. And we expect these figures to evolve as trade deals are negotiated. Moreover, it's simply too early in the process to predict exactly where demand and pricing will go over the next 60 or so days. Based on what we know today, we are maintaining our guidance of net sales of $2.175 billion to $2.275 billion and adjusted EBITDA of $120 million to $145 million. With that, I will now turn the call back to Aaron.
Aaron Ravenscroft: Thank you, Brian. Please turn to Slide 8. Manitowoc was founded in 1902. Since that time, the company has faced plenty of periods of economic upheaval. We managed through two World Wars, two global pandemics, the Great Depression and the more recent Great Recession. And now we face the great global trade reset. A silver lining of COVID was that it shifted our way of thinking, which eventually led to our CRANES+50 Strategy. It became clear that the only way to effectively drive return on invested capital and reduce our cyclicality was to grow our aftermarket, which is less capital-intensive, more predictable and more attractive in terms of margins. It was time for us to transition from a product-dominant business to a customer-focused company. As a result, we made numerous moves that position us to better navigate difficult economic times. In our European tower crane business, we continue to invest in new products in spite of the market downturn, which puts us in a great spot as the market starts to rebound. In addition, we built a small rental fleet that allows greater flexibility to serve our customers and participate more aggressively in the aftermarket. I'm extremely proud of the fact that our team was able to maintain our non-new machine sales throughout the recent downturn. The team has done a great job of positioning us for the recovery that has taken shape. In the Middle East, we've spent a considerable amount of time in Saudi over the last couple of years, listening to the construction companies and our partner, NFT. As a result, beginning two years ago, we fast-tracked several new large tower cranes tailored to the region's giga projects. In addition, we upgraded our facilities to provide us with the needed capability and capacity to build these cranes in volume. We've already begun to see benefits. In fact, we won a $10 million order just two weeks ago, which was made possible by these investments. With our all-terrain product line in Germany, we transformed our factory, increased new product development and invested in the aftermarket support. Since I joined the company, we've done a good job getting the voice of the customer from crane owners. And I am pleased, that over the last couple of years, we've gotten much better at working more closely with depot managers and crane operators as they receive new machines with new technology. In 2016, I spent five days [indiscernible] getting hammered by customers over quality. This year was night and day different versus nine years ago. We received lots of compliments and accolades from some of the most respected crane rental houses in the world. In Latin America, we've learned how to service customers and make money by selling used cranes, rebuilding old machines, and providing world-class service. In Brazil, we broadened our service capabilities to cover more of the customers' needs, including Chinese cranes. In the U.S., we've invested roughly $200 million to acquire several dealers and expand our North American service footprint. Today, we cover 16 states, and we even have other adjacent construction equipment companies talking to us about servicing their machines. In total, we've significantly enhanced our aftermarket presence worldwide and developed numerous revenue opportunities beyond just selling new cranes. Since 2020, we've doubled our number of field service technicians globally to almost 500 and have grown our non-new machine sales for the trailing 12 months by 70% to $645 million. The tide goes in and out twice a day, which almost seems as frequent as the crane these days. We can't control the fickle nature of the global economy, but we can service our customers. Over the last 20 years, we put almost 100,000 pieces of iron, into the market. That's a lot of day-to-day aftermarket business. The better we serve our customers, the better our customers will serve us. Like so many times before, we will manage through the global trade reset. When the tide eventually comes in will be rewarded. In the meantime, we will continue to execute our CRANES+50 strategy, which is a proven blueprint for driving our ROIC and shareholder value long-term through the crane cycle. With that, we'll open the line for questions.
Operator: We’ll now begin the question-and-answer session. [Operator Instructions] Our first question will come from Jerry Revich with Goldman Sachs. You may now go ahead.
AaronRavenscroft: Good morning, Jerry.
Jerry Revich: Hi. Good morning, everyone. Nice performance this quarter. I wanted to ask if we could just unpack the mitigation to the tariff numbers that you shared. What proportion of that is changes in the supplies versus pricing? And just given your relative competitive position in terms of US manufacturing, could this be an opportunity for you folks to actually benefit from price cost? Because your competitors can be pushing pricing more aggressively given their footprint if tariffs do take up?
Aaron Ravenscroft: So in terms of the mitigations, Jerry, there's four big buckets. Of course, there's going to be price increases and surcharges, and we've gotten some alternative sourcing, as well as some of our key vendors have been willing to share in the pain, so that's a good news. I think in general, everyone feels that this is going to be a short-term situation. And so we're trying to find ways to work through it as we get more clarity on the overall subject. That being said, I will say that one of the big challenges we have is with where the yen is and the tariff is only 10%. If you look at where the yen’s moved over the last five, six years, it has moved well more than 10%. So it will be worth to wait and see how that plays out in terms of pricing in the United States. So it's not so clear to say that there's big benefits for us. But again, I think there's a lot that has to play out before we can really answer that question.
Jerry Revich: Super. And then the biggest variable in terms of percent tariff rate is on the China side of the $45 million that you gentlemen spoke about in the prepared remarks. How much of that with China and what level of tariff are you assuming for China just so we can set our models if there is progress on that front?
Aaron Ravenscroft: Yeah, it's not easy to -- I'm not going to give a clear breakdown, because it's not just China, it's also the steel and aluminum 232 tariffs. Some of that's mix and match and some of it just depends on what our mix is, relative to what machines we make. So it will be a combination of the two. And obviously, the mitigation factors are playing to what tariffs were actually going to get hit with as well. So if the China tariffs comes down, then the mitigation factors likely come down as well.
Jerry Revich: Super. And lastly, not to see the increased demand in Europe with the orders that you folks spoke about. Can you just unpack that in terms of what you see on the ground is driving that acceleration? Is it utilization is back at cycle high levels? Or what's driving the level of inflection that you folks are seeing? And how is the current order cadence that you're seeing, obviously, a significantly year-over-year, but how does that compare versus prior cycle highs?
Aaron Ravenscroft: Yeah. To me, this is typical recovery because you have easy comps and I don't think that there's -- it's pretty broad-based. I would say if you're in France, people are still very nervous because there's still a lot of concerns relative to the overall economy there. Germany, of course, we had lots of good news in the last couple of weeks relative to what their government is doing. But it's not as if we've seen a big boom. I mean dealer inventory was really low, utilization was really low. So, when you add all those pieces together, that's what's piecing together the recovery.
Jerry Revich: Thank you.
Aaron Ravenscroft: So, we're a long ways from any peak or anything like that. I think the base was just so low. But it is nice to see that we're moving in the right direction finally.
Jerry Revich: Appreciate it. Thank you.
Aaron Ravenscroft: Thanks Jerry.
Brian Regan: Thanks Jerry.
Operator: [Operator Instructions] Our next question will come from Steven Fisher with UBS. You may now go ahead.
Aaron Ravenscroft: Morning Steve.
Brian Regan: Hi Steve.
Steven Fisher: Morning. Thanks. Just wanted to clarify a couple of things on the tariffs first. In terms of the raw materials, such as steel and aluminum that are within your production within the United States are you experiencing higher costs there? Is that part of what you've factored into that $45 million of sort of tariff cost impact within Shady Grove?
Aaron Ravenscroft: Yes, that's a portion of it.
Steven Fisher: Okay. That's helpful. And then in terms of the backlog, again, not sure kind of what you've factored into those estimates in terms of being able to reprice what you have in the backlog currently? Or is what you've forecasted more just on mitigation efforts on new units going forward?
Aaron Ravenscroft: Yes. Because it's just -- because of the nature of tariffs, we'll -- and that hits as the units are imported, we intend to use surcharges to hit what's in the backlog.
Steven Fisher: Okay. Got it. And then wondering if you could just give a little more color on the U.S. non-residential construction markets, kind of where are you seeing the momentum in terms of kind of crane utilization and order patterns and a kind of positive momentum and where maybe it's a little more subdued?
Aaron Ravenscroft: I think it reflects everything that you see in terms of the data. I mean, data centers are going crazy. I think a bigger part for us, especially if you sort of take a step back and look at where we've been over the last six months, there was a lot of excitement just as we saw 2016 around Trump's appointment or his election win and -- so there's multiple elements for us that go into just as important or like utilization, how the crane rental helps, what the age of their fleets are as well as what our dealers sit. So, I don't think we necessarily have the clear view right into every single end market. But overall, I mean, utilization has been strong up to this point, and there's plenty of big projects out there that keep getting announced in every single day.
Steven Fisher: Okay. And then just lastly, on the non-new machine sales, I see the growth there. Can you just maybe unpack some of the drivers there and the visibility that you have for that kind of continuing for the balance of the year?
Aaron Ravenscroft: Yes, I'd say it's pretty broad-based. I mean we've seen a little bit of weakness in our parts in the U.S., but nothing dramatic. We've done well in U.S. We've done -- what we've done great in terms of the European tower crane business, quite frankly. But as we add new locations, and we're constantly adding field service techs and we're pushing really hard on used machines and rebuild machines, I'd say it's pretty well across the board.
Brian Regan: Yes. And there's a lag in the service tech utilization, too, just because of training and things like that. So, as we continue to grow those service techs, the ones that we -- higher a year ago, start to become more utilized and start to generate more and more revenue for us.
Steven Fisher: Perfect. Thanks very much.
Aaron Ravenscroft: Thanks, Steve.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Ion Warner for any closing remarks.
Ion Warner: Thank you. Please note that a replay of our first quarter 2025 earnings call will be available later this morning by accessing the Investor Relations section of our website at manitowoc.com. Thank you, everyone, for joining us today and for your continued interest in The Manitowoc Company. We look forward to speaking with you again next quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.